François-Henri Pinault: Good morning to all of you. I am pleased to welcome you Kering’s 2024 Full Year Result presentation. To say the least, 2024 came far from meeting our initial expectations. We knew, and I told you a year ago, that things would not be easy for Kering in 2024 as we were and still are, operating a transformation, and we are doing this against adverse market conditions. But as you’ve seen, throughout the year things have been even tougher than what we had foreseen. I also told you last year that we would rebuild without taking any shortcuts. The long-term health of our brands is not compatible with short-term compromises or quick fixes. So we are staying the course. The strategy we are implementing consistently since we became Kering, a pure player in luxury, is unchanged. We have demonstrated in the past that we know how to grow brands, and we will do it again. Gucci will come back. I have absolutely no doubts about this. We've built a portfolio of complimentary brands addressing the key segments of the luxury market, and each one of them enjoys strong positions. They are now complemented and reinforced by demonstrated leader and a promising contender in adjacent segments. And here, of course, I'm talking about Kering Eyewear and Kering Beauté. These businesses boost visibility. They provide additional entry points for our brands. And they are steadily growing and profitable, giving the group more stability and resilience. The strategies of each of our brand is highly specific, highly individualized, but they are sharing a common framework that we as a group, we refine, we fine tune, and we monitor. In recent years, we've used the word elevation to describe the rebalancing of our house growth model between their fashion and timeless dimensions. And here I want to be very clear about what we mean particularly in terms of clientele. We have grown our brands, notably Gucci, by leveraging their core element of desirability, which is their fashion components. That has meant relying largely on the aspirational part of the market. So now, while protecting this customer segment, of course, and this is key for us, we aim at better penetrating more elevated clientele. Francesca will go over many of the actions that we have adopted across the group to apply this principle. And now they touch upon every function of our Houses, from communication to distribution, from merchandising to quality, and to a lesser extent, to pricing. In the past year, we've worked on what we call brand books. For each of our Houses, they set the framework within which creativity should be expressed. We identify the distinctive signs that make up their identity, so we can better respect, we can better protect, and enrich them. And this is the best illustration of an approach that is implemented across the group, but is creating outputs that couldn't be more different from one brand to another. The organization we put in place in July 2023 has been the right catalyst to accelerate our transformation and strengthen our capabilities. We have reinforced execution at Group level and within the Houses, and we have intensified the efficiency of our operations. Jean-Marc will guide you through the action we have taken across the board to strengthen our businesses. And finally, Armelle will review the key operational and financial developments of 2024. From its origins, we have built Kering as an organization with a specific point of view and a distinct operating model. It has enabled us to move fast, to be bold, and to jump on opportunities. But it has also meant that our capabilities, our ways of working, have not always kept pace with our growth. So our challenge now, as we consolidate our organization and re-establish our position in the luxury landscape, is to make sure that we stay true to the culture and values that distinguish us. And this is a challenge that all of us gladly embrace. Now Francesca will go over the work she has orchestrated with our houses last year to reinforce their desirability and their prospects. Francesca, the floor is yours.
Francesca Bellettini : Thank you, François-Henri and good morning to everyone. I'm going to spend a few minutes to go through the key developments at our Houses, our ambition for the future, and of course I will take a deeper dive on Gucci. In this picture, you see the Gucci Blondie bag, a beautiful bag that was created in 1971 and that we relaunched at the Cruise show in May in London, and it arrived in store in the fall of 2024. It's a beautiful, sophisticated object. And compared to the past, we have increased its quality and introduced new colors and variations for the relaunch. In this picture, you see a variation in [Quiao] Toscano, a very high quality leather introduced in the Blondie line for the first time with the relaunch. But a Gucci bag cannot be just a qualitative bag, because Gucci has a dual sole. In addition to the heritage, in fact, and the tradition, we need to inject the fashionability in everything we do at Gucci. Here you see a fashionable version of the Blondie bag presented in an oversized GG canvas version and pictured with Debbie Harry, the leading singer of the band Blondie that gave the name to this bag in the s. This campaign was shot by the famous photographer Nan Golding and its part of the campaign of the Blondie bag that received a British Fashion Council Award and was very well received by the consumers. This picture illustrates the very unique positioning of Gucci, always blending fashion and tradition. And even when it comes to leather goods icons, like the Blondie, the important fashionability component is never left behind. In 2024, Gucci has seen the relaunch also of the Jackie and the Bamboo lines of bags, here in the hands of Dakota Johnson and Yara Shahidi. Icons are a platform from which we improve and grow. The new Jackie bag features better quality in the leather and in the hardware, and the bamboo line incorporates new versions and colors, and for sure it has a much more modern appeal, and it appeals to a broader clientele. The Valigieria travel collection of Gucci is a very important icon for the brand that brings us back to the very foundation of Gucci at the period of Guccio Gucci at the Savoy in London. We never lose sight of where we come from, like for example our Savoy history. But we do it in a respectful way and in a joyful spirit of the house, building on the moment as we did in this holiday campaign featuring the Valigieria. We understand who we are and we make sure that everything we do is aligned with this idea but also with the current time. Another example of icons that we have refreshed this year is the Bee bag, which was introduced first as a men's bag in the mid 50’s and it became famous when worn by Samuel Beckett. This year we reintroduced a Bee bag as a women's handbag with great success and a new fashionable spirit. When talking about the icons of Gucci, we must mention the Horsebit Loafer. It has been a milestone for Gucci for over 70 years and whenever we introduce new variations they are a hit and also boost the sales of the original model. In addition to revamping our icons, in 2024 we also launched new successful products like the Hamelin line of bags, whose global success has allowed us to partly offset the drop in the carryover, or the new Ballerinas that cover a function in the market and a market trend and incorporate some of the elements of our Gucci Loafer. All of this fits perfectly in the product strategy that we have deployed in the last 18 months. The new products we have introduced, or the iconic line we have refreshed, represent a real step up in terms of quality, functionality and appeal. They have been very well received, however their success has not been enough to make up for the drop of the permanent lines. As you see through the year, the percentage of newness in the sales of Gucci has grown steadily, and we aim for the share of newness in the mix to continue to increase. We will continue to refresh our key carryover lines, as well as to leverage on the success of pure newness, with the aim of developing new lines that have the power to remain as carryover and build a stronger base for the future. All of this should translate in a stronger mix of leather goods sales in the sales of Gucci, and this is for sure the aim that we have also for the future. In 2024 Gucci suffered from low traffic and in particular in the second part of the year. To overcome this we have re-energized our communication to drive customers into our stores. Examples of this are our gifting campaign that leverages on the Savoy heritage, or our Christmas campaign featuring some of our brand ambassadors like Jannik Sinner in this picture that is not featured on a tennis court but very offbeat and fun, as we never forget that Gucci is a joyful brand. Another successful example of re-energized communication is our Valentine's Day campaign recently unveiled and that presents couples in their daily life. This campaign, shot by Tina Barney, stages love and inclusivity, key values for the Gucci community. Last but not least, this year we worked on our stores. They are an incredible vehicle of communication to the world through staging both products and our history. A new window concept has been developed to engage better with clients, to invite them inside and to highlight not only our products but also our values. Entitled Endless Narrative, the new window concept creates a dynamic, immersive environment fostering engagement. It is an infinity library that displays products as well as objects related to the history of the brand, art pieces and it allows the client to discover Gucci and the brand and our sales associates to engage better with the clients through storytelling. These windows are highly adaptable to different products and also to different store configurations and they are also highly sustainable as the concept will stay for a few months while displaying will be changed. The Endless Narrative concept was launched through a digital campaign and I would like to stop one moment on this close up, featuring our archive boxes in an art form. This picture is a very good example of where we stand today. As you understood from what I just told you, over the past 18 months we spent time rebuilding a very strong base founded on the goal of elevating our quality and achieving consistency across product, communication and distribution. We surely have not done it all but for sure we have made gigantic progress in reconnecting with our heritage. Therefore, now is the right time to boost the fashionability and desirability element of the brand and that is part of the Gucci soul. This is why we announced last week that we will appoint a new artistic director for Gucci and this marks the beginning of the next stage of the brand journey. The solid base that we have created is here to stay. On this solid foundation, desirability and fashion authority will be injected in a strong, very strong way to recreate the unique balance that makes Gucci shine. We are putting the finishing touch on Gucci, the transition is done and we couldn't be more excited about it. Let's turn now to Saint Laurent, a house that enjoys an immense fashion authority. Saint Laurent is a brand with very strong pillars, highly recognizable and desirable. Its fashion shows are regularly praised as the best of the fashion weeks and the brand positioning is very elevated and strong. Leveraging on the power of the brand, in 2024 we introduced products at a higher price point like the Y Cabas or the new Sac De Jour that you see in this picture. The higher positioning is a matter of undeniable enhanced quality and strong desirability. At Saint Laurent, the silhouette is key and here are the same handbags shown into a contest aligning leather goods with the Saint Laurent look displayed by personalities. Also Saint Laurent is legitimate both in logo and no logo bags. While elevating our offer we never forget entry price points and we make sure that the quality and the brand power are present throughout the full range. This is an example of a core product of Saint Laurent, the Loulou bag, that has been relaunched at an unchanged price range while being rejuvenated with colors, new leather and a new attitude and this is having a very strong response. The House fashion authority is intertwined with customer experience. The new store concept that has been launched in 2023 and deployed in 2024 enhances the client journey and also is done to improve some KPIs like cross selling and UPT. Saint Laurent is also a brand whose authority goes way beyond fashion and a brand that expresses itself with audacity. Less than two years ago we founded Saint Laurent Production, a company that produces movie. And Emilia Perez, a movie that we produced this year received already several recognition and 13 Oscar nominations. The brand is leveraging on the territory of film also in its ad campaigns such as in the holiday one and all of this is very well received by the public. In fact the brand was ranked number two in the list index for Q4 2024. Last I talked about Bottega Veneta, a brand with an incredible business story, a leather goods house with a huge lifestyle potential. It is full of modernity, color, energy and yet it has an ultra high hand positioning and it reached new momentum in 2024. This exclusive positioning is being reinforced in line with the long term strategy of the brand, notably thanks to acclaimed collection and communication investments that amplify the brand's desirability. In 2024 Bottega Veneta invested a lot in elevating customer experience. It opened its first By Invitation Only home in Venice in a Venetian palazzo and its first By Appointment Only residence at the top of its store in Madison Avenue. Bottega Veneta resonates very well with top end customers and it creates special occasions to engage with them. The important thing is that Bottega Veneta is never loud. Like the brand and its products also its new stores are stunning, sophisticated and at the same time inviting. Here you have an image of the newly opened stores in Chicago, they are not intimidating and customers want to spend time there creating a feeling of community. Without compromising on its ultra high hand positioning, Bottega Veneta in 2024 expanded its core offer with the introduction of Candles and Fragrances to create brand relevance at lower price point. This has also been the first project that one of our brand did with Kering Beauté, results are very good and everyone had a very positive experience working together on it. Lastly Bottega Veneta recently appointed its new Creative Director Louise Trotter. Louise is a very natural fit for the brand, a perfect choice to perpetrate Bottega value and aesthetic. Her sensibility and taste are completely aligned to the brand DNA and she has the right credentials to create fidelity in ready-to-wear similarly to what the brand has already achieved in leather goods. In addition to our three larger brands, we have beautiful jewels in our portfolio, Balenciaga that continues to have the most relevant runway and couture shows, thanks to Demna, it has launched in 2024 very successful handbags like the Rodeo on the Bel Air and it opened a magnificent store in New York City downtown. Alexander McQueen in 2024 had its second show by the new Creative Director Sean McGirr that was very well received and the brand is going through a consolidation. Brioni had a very good year in 2024, the brand has a strong legitimacy in formal wear that has been enhanced by the reopening of the Scuola di Alta Sartoria in Penne, and in 2024 it has been gaining momentum in luxury leisure wear, with very successful collections. We have also a jewel in the jewelry sector, first and foremost Boucheron, a brand led by a super talented strong team and their captains are two women. Boucheron combines traditional craftsmanship with wonderful aesthetic and strong innovation. In 2024 the brand entered the U.S. market with the opening of a store in New York and in Las Vegas to be followed by an opening in Rodeo Drive in 2025. Moreover, Boucheron enjoyed great visibility on the red carpet. Second jewel in the crown, Pomellato, our Italian jewelry brand, also led by a strong female CEO and talented team. The brand has a strong legacy linked to Milan and in 2024 this legacy has been celebrated through an exhibition in Shanghai and considering its success, we are planning to make this exhibition travel in the coming years in other destinations. DoDo, a well-established jewelry brand in Italy that was part of the Pomellato Group and is very known and loved for Italians, will be carved out by Pomellato in order to better exploit its potential. Qeelin, this year celebrated its 20th year anniversary and it was founded as a high jewelry house. Now it is more aspirational, thanks to the offering fine jewelry, but you will leverage on its legitimacy in China as a high jeweler. After all of this, we can all agree that our 2024 achievements are very consistent with the four pillars of our strategy, brands, product, distribution and execution. Talking about brand and brand building we know that our brands are the most important assets that we have and conveying their brand narrative through everything we do is key. François-Henri briefly touched about our brand books that are an incredible framework under which to develop the singularity of each brand. Many of our brands also entertain an ongoing dialogue with culture. I talked about the cinema for Saint Laurent, Bottega Veneta collaboration with artists or Venetian's Bottegas. Balenciaga through the LINAC Exhibition for example, that resonates very well with the past and with strong legitimacy. This has been recognized also by du Louvr whose exhibition has all of our brands and Balenciaga is also featured in the catalogue. During the year together with Jean-Marc we have set very clear KPIs for communication investments and very clear objectives in terms of return on the investments and through the year we have reallocated and arbitraged our budgets accordingly. Products are the means to take the brands to consumers and across every category and price point. Again the brand books are key to ensure brand consistency and to make sure that the innovation in product happens within a legitimate territory for each brand. We are strengthening our merchandising capacity bringing in new talent, we are enhancing the quality at every price point and have plenty of room for introducing product at higher price point in all of our brand. We also enjoy opportunities in new categories. We have different distribution strategies for every brand. You know that the sector is going through a retailization and also the Kering Group but it's not one strategy fits all. Gucci retailization is close to 95%. 95% of its revenues come from retail. Our larger houses are not far from that with a share in between 80% and 90%. McQueen and Brioni instead have a very different mix in between retail and wholesale as well as our jewelry brand. Last year our increase in the U.S. was minimal and we did mainly strategic openings. In 2025 we are planning to close 50 stores, one third of which will be outlets. Last year wholesale was down by over €500 million and it will be down by another about €350 million this year. In addition to market condition this reflects our strategy of focusing on exclusive distributions and doors. Taking a closer look at Gucci in this respect our distribution priority for Gucci are our full price stores. They are our focus and we are closing unproductive location and elevating the whole network. We want to significantly reduce our presence in outlet and we have started already in 2024. The number of outlet is being cut by one fourth over two years. We are also elevating and raising the control over our online distribution and in wholesale we plan another wave of drastic cuts in 2025 of about 30%. Of course to offset the impact that cutting wholesale, closing stores, closing outlets will have on the revenues, we need to significantly improve our like-for-like sales in full price stores and increase their sales density and also their productivity and all the actions that I've described so far go in this direction. Online remains a key factor in our distribution as much as possible we want to align client experience with those, the one in physical store and we will focus more and more on our dot coms. As part of our distribution strategy focusing on client experiences has been fundamentals in every brand but priorities are different by brand. Offering the right setting and ceremony for the customer, creating whenever possible VIC rooms has been a focus for the brand in 2024. We have example of events for it at YSL in Cannes, Bottega Veneta in Dubai, Gucci in Miami and we have detailed KPIs to monitor the result of these investments and focus on opportunities for improvement. In this respect also the group plays a primary role in helping the brand developing amazing experiences for the client like we have done this year with the Women in Motion dinner in Cannes or the Kering Foundation dinner for fundraising in New York City. Last pillar of our strategy is to strive for excellence in execution. This year this meant adapting our entire organization and coming up with new ways of working to accelerate our transformation. We have recently announced new CEOs at three of our largest houses and now new artistic directors in two other houses. We have welcomed new talents in several functions communication, production, retail and merchandising and we are working to make those functions even more effective at working together. We are accentuating our retail focus at brand level and also at group level and we are setting and monitoring specific portfolio of actions for each entity. And while there is no hiding that this is a stressful moment for everyone at every level, it is also a period of very exciting progresses of great cooperation and alignment throughout the organization. And I'm sure that Jean-Marc with this presentation will show you this. Thank you very much.
Jean-Marc Duplaix : Thank you, Francesca. Good morning to everyone on the call. I'm going to go over the cross group functions which are making Kering more efficient and agile. I will then give you a quick rundown of our progress at Kering Eyeware and Kering Beauté, and finally I will review some of the key elements of our financial strategy. Starting with operations and corporate functions, our first priority and what we have been working on assiduously for the past 18 months, is to make all our organizations across all segments more effective with clear objectives and sets of KPIs. And second to reinforce financial discipline throughout the group both to deal with the current situation and to set a solid framework for the future. We are scrutinizing and tightening all levels including control of OpEx and CapEx based on solid ROI targets that are set and shared internally. Following a period of strategic investments, we have also defined a clear deleveraging trajectory. We focus particularly on boosting our efficiency in four cross-group areas, manufacturing, logistics, technology and corporate functions at the holding level. Let me dig a little deeper starting with manufacturing. Kering houses rely on production capacity developed or acquired in the past few years and on outside suppliers often shared by several of our brands. Clearly full utilization of the group's manufacturing capacity supports our gross margin as we better absorb fixed production cost and also our quality and lead time improvement targets. Upstream in the supply chain we are actively working on this by mutualizing sourcing, raw materials purchasing or the activities of our leather tanneries. We also seek to achieve synergies in development and manufacturing in Soft as well as Hard Luxury. For example, Brioni's Atelier works for other group houses and other such initiatives should come on stream this year. In a year of lower unit production due to our own self-through targets and to softer demand, we coordinate the approaches of our various houses to limit the impact on our suppliers. But still we maintain stringent standards when it comes to the respect of our specifications by our suppliers. We further reinforced our supply chain control system, capitalizing on standardized supplier engagement, management rules, contracts and controls on a comprehensive knowledge base of our supply chain. In the past ten years, we have conducted over 30,000 audits and follow-ups. Turning to logistics, the equation is relatively simple, even though implementation is less so. After years of investments, we want to leverage or set up to reduce delivery time and gain in on-time reliability. In other words, commit to an optimal number of days between the moment a brand requests an item that is available in the central or regional warehouse and the moment it gets to the store. Our target is for at least 90% of all items to be delivered in the time frame agreed with the brands. This gain in reliability and agility is what our houses can count on to optimize allocation and in-store replenishment and therefore minimize inventory. Improving logistics efficiency goes hand in hand with lower costs by unit warehoused and transported itself linked to systematic renegotiation of contracts with carriers, for example. In addition to major savings, we have gained in productivity, in preparation and handling of shipments. We have also streamlined our setup, notably with the sale of one of our last remaining warehouses in Switzerland. We target another drop in our cost per unit in 2025. With regards to our digital capabilities and information systems, our main goal as for logistics is to leverage the tools that we have already put in place in recent years. We are systematically prioritizing projects with higher ROI targets. At the same time, we want to leave room to adapt to changes in technology and we continue testing generative AI solutions likely to improve our organization. This discipline in project management without closing the door to innovation enabled us to stabilize our IT cost excluding G&A in 2024. Finally, we have redefined the missions conducted at corporate level in such areas as HR, finance or legal or some other functions to optimize the support we provide to our houses and raise the standards with which we carry out our interactions. Among others, this tightening has led to a reduction in holding company cost of 5% in 2024 despite continuing inflationary pressure in some regions. We are projecting another 5% drop in the current year. Before Armelle expands on the 2024 financial performances of our adjacent businesses, I would like to say a few words on their progress. Kering Eyerware is celebrating its 10th anniversary by beating all the targets we set in 2015. Its portfolio of 14 brands, including two proprietary brands, constitutes an offer of sunglasses and optical frames that is particularly attractive for eyewear retailers. It propelled Kering Eyeware to number two worldwide in Eyewear and number one in the Luxury segment. It has a global footprint with distribution in 150 countries in nearly all the top selling channels. It's highly profitable and its sound cash generation has already allowed it to absorb the cost of the acquisition of Lindberg and part of that of Maui Jim. Maui Jim pursued its international expansion last year at the same time as it defended its positions in a challenging U.S. market. As we had flagged, the brand has sustained its investments in A&P and this should continue to bear fruit this year. To preserve Lindberg's highly exclusive positioning, we are keeping the brand's development under tight control. And finally, as we do everywhere else in the group, in the brands, in the corporate functions, we continue optimizing Kering Eyeware operating efficiency across the board. So you are familiar with our ambition for Kering Beauté to reach critical size on the global beauty market, leveraging the full potential of our houses and to build a steady profitable business in the process. In 2024, we continued building the foundations from which this ambition can take shape. Following the acquisition of Creed in late 2023, the Kering Beauté team had three priorities, (a) adapt the company's organization, capacities and processes to our standards, (b) exploit synergies notably in terms of supply chain and distribution and (c) fuel the development of the brand. In 2024, Creed posted a very good performance, notably through the well-received introduction of women scents. Another highlight of the year was the launch of a family of five high-end Bottega Veneta fragrances. The collection, as already hinted by Francesca, generated a performance that went beyond our expectations and will be amplified this year. Kering Beauté also prepared the launch of a very exclusive Balenciaga fragrance line. As a result, by the end of this year, two of the main licenses held by Kering Beauté will have made their entry into the market. We have also built an experienced team and the roadmap we have drawn for the next four years includes a detailed calendar of launches, enabling us to program Kering Beauté’s future development, notably in terms of hiring and supply chain. Let's now take a look at the key tenets of our financial strategy. I will start with gross margin, down 15% last year in absolute terms. However, when we break down the components of this drop, you see here on the right that the bulk of the drop flows directly from the decline in sales. As a percentage of revenue, gross margin was down about 2%. Focusing on this deterioration of the gross margin rate, it is partly due to the negative impact of the revenue mix in terms of both channels and geographies. Successful actions aimed at cleaning inventory and somewhat paradoxically investments in heightening product quality also impacted the gross margin rate. These negative factors were partly compensated by the efficiency gains and cost savings I discussed. Our goal already for this year is to leverage the work we are doing on the supply chain to return to a higher gross margin rate. We continue to invest in our houses to reinforce their positions and provide them with the resources needed to rebound and thrive. As we do this, efficiency is our top requisite. Obviously, our houses' DOS networks represent a key element of our strategy. With Francesca, we have completed a comprehensive review of our 1,800 stores worldwide to fully capture their individual performances. If their prospects allow, we are taking measures to improve their results. If we don't deem this possible, we close them. Our priority is to enhance client experience and the quality of the service we provide, all the while focusing on achieving higher density, productivity and profitability. Another fundamental lever rests with advertising and promotion expenses. We are assessing the impact on broad equity or top line of our A&P spend. With greater agility, we aim to be more effective while keeping our A&P budget broadly flat in 2025. And we deploy the same rigor in the management of other OpEx, including restructuring wherever required. All told, at group level, we have saved €400 million excluding G&A in 2024. Of course, some of the savings are due to variable costs, but very substantial savings have been made on the fixed part as well, considering the average salary increase on total personnel cost of €3 billion and, as I said before, A&P nearly flat. In 2025, we are planning on keeping total OpEx stable. This means that excluding G&A and any inflationary pressure, the initiatives we put in place in 2024 will continue to bear fruit. We are very pleased with the level of cash flow we are generating due to sound working capital management and disciplined CapEx. Our significant inventory reduction reflects in part how we have adapted to the current situation. More fundamentally, it is the result of structural efforts on sell-through, open-to-buy and supply chain agility that will continue to benefit our working capital in the future. Last year, inventories were down 12% in euro terms. This includes a particularly strong contribution from Gucci, which managed to reduce the number of pieces in inventory by nearly 40% over the past two years. On the CapEx front, beyond the 10% drop versus 2023 and even more if we consider the initial CapEx plan for 2024, we target to stay at €1 billion to €1.1 billion in the short term. We said we would be working on cutting group debt, notably by lowering our real estate exposure. Already in early 2025, we have signed deals that will generate net proceeds of €1.2 billion. Through the transaction with Ardian, we have secured indirect control over assets we deem strategic. As for the mall, the sale of this non-core asset represents healthy management of our portfolio of activities. We expect to raise another €2 billion or more over the next two years through real estate refinancing. This year already, net financial debt-to-EBITDA should not exceed two times. Over the long term, we are shooting for this ratio to drop further, thanks to the refinancing I just mentioned, our cash flow generation, and a disciplined M&A policy. To sum it all up, I have recapped here on that slide our capital allocations priorities, which you are mostly familiar with. First and foremost, the support of our organic growth even more, fundamental than ever. I have reviewed with you how we plan to continue investing in our current portfolio of houses. This translates into a long-term CapEx to sales ratio target of 5% to 7%. And we are not planning further investments in real estate properties. Our dividend policy is unchanged and Armelle will discuss the 2024 outlay. On the external growth front, our focus is on consolidating our recent moves, particularly in beauty and eyewear. We believe in the strong potential of our adjacent businesses and in securing our supply chain, and this will be the guiding light for any potential acquisition. We are also preparing the integration of Valentino, which is three years away at the latest. I have reviewed our deleveraging trajectory. We expect to gradually return to a ratio of net debt excluding leases-to-EBITDA of one time to two times and to retain a solid investment grade rating. With this, I will pass on the mic to Armelle for a review of 2024.
Armelle Poulou: Thank you, Jean-Marc, and good morning to all of you. Let's start with the key metrics on Slide 60. Full year revenue came a touch ahead of the €17 billion mark. Recurring operating income was €2.6 billion, slightly above the guidance provided in late October, yielding a 14.9% margin. Free cash flow from operations stood at €1.4 billion or €3.6 billion excluding real estate, a satisfying performance that highlights the ground-laying work we have done. This comes after €3.3 billion in CapEx or €1.1 billion excluding real estate. Our net financial debt at year-end was €10.5 billion in the lower part of our expected range. At year-end, Kering’s headcounts stood at 47,000 people. I'll dive deeper into these figures starting with revenue. Full year revenue at €17.2 billion was down 12% in both reported and comparable terms. We had a 1% positive Scope impact with Creed consolidated over the whole year versus only two months in ’23. FX was a 1% headwind. Reported and comparable trends in Q4 were aligned with the full year. Looking at mix by region, the major change is the weight of Asia-Pacific, down five percentage points to 30%. All other regions gained share in the mix. At €2.6 billion, recurring operating income was down 46% year-on-year, a 900 basis point margin dilution. Gross margin was down 250 basis points on a combination of various adverse mix effects and less positive hedging gains. To support our brands, we sustained expenses in key areas while implementing strict cost control on others. Adjusting our cost structure and prioritizing expenses enabled us to stabilize OpEx and dampen the magnitude of operating the leverage. OpEx was basically flat year-on-year, up 3% in H1 and down 4% in H2. At €3.6 billion, free cash flow generation excluding real estate transaction was very strong, above the same adjusted indicator in 2023. CapEx excluding real estate transaction at €1.1 billion was down 10%. The CapEx to sales ratio was 6.4%, in line with last year. Net debt was €10.5 billion at year-end, largely reflecting our acquisition of prestigious real estate assets. We also paid a stable €1.7 billion in dividend. On Slide 63 and 64, a closer look at revenue. First, by channel, retail contributed 76% of total revenue, with a balance coming from wholesale, royalties and other. In the full year, retail was down 13% comparable, with a low point in Q3 and a four percentage point sequential improvement in Q4, retail ending down 13% comparable. Included in retail, e-commerce was still a drag, down 20% comparable in the full year. It accounted for 11% of retail sales. The store count at the end of the year was 1,813, a net increase of 42 units. We curbed the pace of store openings, focusing on upgrading the quality of the footprint with fewer but better locations. In the fourth quarter, the total store count decreased by three units compared to the end of September, with net closures at Gucci, Saint Laurent and Alexander McQueen. Bottega Veneta continued to develop its presence with stunning openings in Tokyo and Las Vegas, where Boucheron also opened a store. Wholesale and other revenue was down 9% comparable in 2024. Consistent with our move towards greater exclusivity, together with the challenging market situation in some regions, wholesale was down 22% for our luxury houses. Focusing on Q4, wholesale and other revenue were down 10% comparable. For our luxury houses alone, wholesale decreased 25%. For their part, Kering Eyewear and Beauté had solid wholesale performances, up 6% comparable in 2024 and 7% in Q4 alone. Royalties and other revenue were up 13% in the full year. Now, turning to retail trends by geography on Slide 64. With the exception of Japan, all regions improved sequentially in Q4, driven by slightly better traffic and higher average tickets. Western Europe remained in negative territory, down 8% in Q4, a three percentage point improvement compared to Q3, driven by both locals and tourists. Local demand, accounting for roughly 50% of the total, remained muted. Purchases by tourists were a touch below last year, with most nationalities positive or stable, except Asians. Looking at the full year performance, Western Europe was down 9% comparable, with tourism spending still 15% below pre-COVID levels. In North America, Q4, down 9%, showed a six percentage point sequential improvement due to less unfavorable traffic trends and higher average tickets. The progress is quite material at Gucci, Saint Laurent and Bottega Veneta, although trends still differ sharply across brands, with the higher hand outperforming. For the full year, North America was down 11% in retail, with the U.S. cluster broadly in line with the region. Japan turned negative in Q4, down 6% mostly on weakening tourism trends. Tourist purchases that represented 40% of sales in the country, were hampered by less attractive price differential due to geo-pricing adjustments and currency movements. On a full year basis, Japan retail was up 9%. Asia-Pacific recovered in Q4, down 24%, a six percentage point upswing compared to Q3. Mainland China, Hong Kong and Macau led this sequential recovery. The Chinese cluster also improved from Q3, down a bit less than 30% in Q4. For the full year, retail in Asia-Pacific was down 24%. Finally, Rest of the World was up 5% in Q4, fueled by Middle East and, to a lesser extent, Latin America. In the full year, retail in the rest of the world was up 3%. I will now comment on our individual houses, starting with Gucci. Revenue for the full year came at €7.7 billion, down 23% reported and 21% comparable. Retail, also down 21% comparable, accounted for 91% of sales. Wholesale decreased by 28% and royalties were broadly unchanged. In Q4, retail was down 21% comparable, a sequential acceleration led by North America and Asia-Pacific. The trends in newness kept improving, boosting growth in Europe, Japan and Americas, supported by the positive performance of handbags, which also drove higher AURs. Wholesale was down a significant 53% comparable, driven by rationalization and reduction in the number of doors now gradually extended to watches and jewelry. Duty-free, mostly in Hainan, and was also down. Gucci posted full year recurring operating income of €1.6 billion, a 21% margin. Gross margin was down on multiple headwinds, notably product and regional mix, but also initiatives to elevate the quality of sales, including cleaning actions and reinvestment in craftsmanship and materials. To fuel its recovery, Gucci continued investing in key client-facing areas, while implementing cost optimization programs that produce more substantial savings in the second half. Some highlights on Saint-Laurent. At €2.9 billion, full year revenue was down 9% reported and comparable. Wholesale was down 25%, driven by channel rationalization well underway and the challenging U.S. market. For its part, retail was down 7% comparable and represented 82% of revenue. Focusing on Q4, retail was down 7%, a substantial improvement from Q3, driven by North America, Asia-Pacific and, to a lesser extent, Western Europe. In leather goods, new launches and reinterpretations of iconic bags were very well received. Wholesale was down 35% comparable. Full year recurring operating income was €593 million, a 20.6 % margin. Gross margin was down on adverse mix and the house continued to invest in brand, collections, stores and client experience. Moving to Bottega Veneta whose full year revenue was €1.7 billion, up 4% reported and 6% comparable. The brand reached a record in retail, accounting for 85% of sales and up 10% comparable. Wholesale declined 15% as Bottega Veneta pursued its selective strategy. Q4 retail was outstanding, up 17% comparable, with high double-digit growth in Western markets and Middle East. Trends in APAC improved sequentially. Firmly positioned in the ultra high-end segment, Bottega Veneta's growth was driven by the high desirability of leather goods, while the brand expands in other product categories. Revenue is fueled by a continued increase in AUR, while the mix of existing and new clients remains very healthy. Wholesale was down 10% in Q4. Recurring operating income was €255 million, close to 15% margin in 2024. Gross margin was stable and the brand continued to invest in communications and stores to support its momentum and positioning. Comments on our Other Houses are found on Slide 72. At €3.2 billion, revenue in 2024 was down 8% reported and 7% comparable. Wholesale was down 17% comparable as our soft luxury houses continue to tighten control over distribution, but also faced lower demand. Retail, accounting for 75% of sales, was down 4% comparable. In Q4, revenue was down 4% comparable, including retail down 7%, while wholesale was up 9%, mostly on phasing at Balenciaga. In soft luxury, trends were contrasted. Balenciaga's recent handbag launches are a resounding success and the house registered a sequential retail acceleration, mostly driven by Asia-Pacific. For Alexander McQueen, the year and Q4 were challenging as a creative transition is ongoing and newness is not offsetting the heavy pressure from carryovers. Brioni's very solid performance continued in Q4 with revenue up solid double digits. Retail was positive across all regions with very solid trends in western markets and Middle East. Our jewelry houses continued to show strength in Q4, ending the year on a positive note. Boucheron delivered another year of double digit growth and sales were up across all regions. Performance was outstanding in Japan and its recent entry in North America is promising. Pomellato pursued a steady trajectory, showing good resilience in Europe and nice growth in Japan and Asia-Pacific. Qeelin continued to enhance its product offer but was obviously more impacted than others by the environment in Greater China, as over 95% of its revenue stems from Asia, including Japan. Recurring operating income of the Other Houses was negative €9 million. With muted top line trends and lower wholesale revenue, Balenciaga and Alexander McQueen had less capacity to absorb their fixed cost structure. Balenciaga reinvested substantially in communication, events and shows while controlling its overall cost base. At McQueen, we are recalibrating the size of the store network and focusing on efficiency. By contrast, results remain solid for our jewelry houses. Now, turning to Kering Eyewear and our Corporate segment, which includes Kering Beauté. On Slide 74, revenue at Kering Eyewear came close to the €1.6 billion mark this year. Comparable revenue was up a solid 6% in the full year. Q4, up 7% comparable, confirms the successful development of the brand portfolio in all regions in both optical frames and sunglasses. Revenue for the segment was more than €1.9 billion, with Creed consolidated in the full year. Kering Beauté revenue was €323 million, nearly all coming from Creed, which posted high single-digit comparable growth. The launch of the Bottega Veneta fragrance collection also contributed to Kering Beauté revenue. The segment's recurring operating income was a strong €112 million. Kering Eyewares' operating income stood at €277 million, a robust 17.5% margin, just short of last year's on A&P reinvestment. Thanks to Creed, Kering- Beauté made a very positive contribution. As for Corporate costs, they were down year-on-year. The remaining lines of the P&L are summarized on Slide 75. Other non-recurring operating result was negative €242 million. This includes impairments of assets classified as held for sale that will be contributed to the joint venture with Ardian, announced a couple weeks ago. It also accounts for restructuring charges to optimize organization and other costs relating to the streamlining of our store network. Net financial charges amounted to €614 million compared to €410 million in 2023. The breakdown is in the appendix. Cost of net debt at €320 million was up on the back of higher average outstanding debt, while the average coupon of our bonds remained at 3%. We issued bonds for a total of €2.5 billion last year under highly favorable terms. Corporate tax amounted to €461 million, down substantially from last year. The tax rate on recurring income was 27.1%, consistent with our normative tax rate. Group net income from continuing operation excluding non-recurring items was €1.3 billion, a 57% decrease. A few comments on free cash flow on Slide 76. The rise in free cash flow generation before CapEx came from the positive change in working cap driven by successful inventory management across our houses and from lower income tax paid, together providing a €2 billion change in cash flow. After CapEx, free cash flow from operations was close to €1.4 billion or €3.6 billion, excluding real estate transactions. A focus on CapEx on Slide 77. Total CapEx increased on the back of real estate transactions, but was down 10% excluding them. CapEx to sales was unchanged from 2023 at 6.4%. We prioritize investment to upgrade the store network of our brands and selectively expand its footprint. On the bridge on Slide 78, you can identify the main components underpinning the change in our net financial debt. We paid €1.7 billion in dividend and add €1.2 billion in lease repayment and related interest. We finalized the disposal of our stake in Puma and made small investment, notably to reinforce our supply chain. After the €2.1 billion cash out of real estate, our net debt at year-end stood at €10.5 billion or 2.3 times EBITDA. A quick look at our balance sheet and financial structure on Slide 79. Total asset and liabilities increased by €2 billion on the back of real estate operation. Our net debt-to-equity ratio stood at 67%. Thanks in large to our 12% cut in inventories, our operating working cap decreased by 17% year-on-year. It stood close to 17% of revenue, down from 18% last year. My final comment relates to the dividend on Slide 80. The Board of Directors has proposed a dividend of €6 per share. The payout is consistent with our long-standing policy as a percentage of recurring net income and available cash flow excluding real estate. We paid an interim dividend of €2 last month and the balance should be paid in May pending AGM approval. This ends my remarks and I will turn the mic back to François-Henri.
François-Henri Pinault: Thank you, Armelle. As you know, our commitment to sustainability is a central tenet of our strategy and also an expression of the point of view I mentioned earlier in my presentation. That's why we did not reduce our engagement in 2024 and I'm proud of this leadership that we have in this field. For me and for the group, it's an ethical imperative and it is closely tied to our pursuit of excellence. Science is central to our approach. Building on our EP&L, we set ambitious data-driven targets for climate and nature. For example, on climate, our Net Zero targets were officially certified by the SBTi last year and we already achieved a 23% reduction across all Scopes from the 2022 level. Our efforts on nature and climate place Kering at the top of some of the world's most recognized ratings and rankings including the Global 100 of Corporate Knights, the Carbon Disclosure Project or the Dow Jones Sustainability Index. Well, this has been a quite long presentation and if there is one conclusion that together we would like you to take away, is that focusing on what we can control, we've made the necessary decisions to improve our situation, to gradually restore the health of Gucci, to address the challenges and issues that our houses and the group are facing. We are for sure still far from where we want to be but we are confident that we've reached an inflection point and that after a year of stabilization in 2025, we will gradually resume a trajectory of steady and increasingly profitable growth. Thank you for your attention, and we are now ready to take your questions.
Operator: Thank you, Mr. Pinault. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from Edouard Aubin of Morgan Stanley.
Edouard Aubin: Good morning, Edouard Aubin, Morgan Stanley. My first question is for you, François-Henri. In recent years, you have significantly accelerated the centralization and the integration of the group. Some of your brands historically were quite autonomous and today it seems that there is a strong input from the headquarters in Paris on kind of the individual brand strategy. So, is that a strategy you want to stick with? And if so, could you please elaborate on the benefits you have seen from the changes you have implemented in recent years and particularly related to Gucci? So that's question number one. Question number two, which maybe is for Francesca, but I don't want to allocate the questions, on the Gucci aesthetics and the positioning, as part of the strategy to elevate the brand and de-risk Gucci profile with less drops and peaks, you have moved away from more maximalist, fashion-forward aesthetics, more towards minimalist. Some of your critics have said that as a result, the brand had become a bit boring and that was not what Gucci was about. So why do you disagree with that, Francesca? Could the new Creative Director bring more fashion-forwardness to the brand? Thank you so much.
François-Henri Pinault: Thank you for your questions. I will start with the first question regarding the centralization. So I won't look at it like that, but it's true that after the first phase where my priority for the group was to scale the brands, it was much more an approach from the group standpoint in silos with each of the brands, putting in place the right CEO, the right Creative Director, and building for each brand the right distribution network to scale the brands. This has been done. Now we have started a journey that is to expand the customer base of the brand, which needs a much more detailed approach, much more based on expertise, product, retail expertise, clienteling. And for that, I do consider that we need to bring more support to the brand from the group. So this is why I have decided to change the organization in 2023, having on my side Jean-Marc and Francesca, to together fine-tune and monitor the brands, bring them the right level of support, of control on different aspects, as you've seen in the presentation of Jean-Marc, putting in place synergies through operations at group level, and from the presentation of Francesca, being able to arbitrage between brands in terms of resources. For instance, and making sure that we have a global vision of our resources, being financial resources, but also human resources as a group to make sure that the brands are benefiting from being in the group even more than before. Francesca, maybe?
Francesca Bellettini: Thank you, Edouard, for the question. For sure, with the change of the Creative Director from Alessandro Michele to Sabato De Sarno, the goal was to bring for Gucci a very solid foundation in terms, and that was allowing to cut a little bit the ups and downs. Yes, the aesthetic of Alessandro was very maximalist, but the aesthetic of Sabato De Sarno is less extravagant and maximalist, but it has allowed us to do exactly what I have described in my presentation. We really focus on the last 18 years -- 18 months not 18 years, to focus on the heritage of the brand and trying to elevate our product to make them consistent with the heritage, but at the same time, relevant today. For sure, the base that we have today is much stronger than the one that we had 18 months or two years ago. And like I said, now it's a perfect moment to inject new creativity, fashionability, and desirability that we assess is the need of Gucci in order to recreate this very peculiar dualism that is in the brand, where tradition and fashion always have to be together. Through that, in the last 18 months, exactly to be the solid base, we focused a little bit more on the tradition, on improving the quality of the product, in launching new products that, even if they were covering entry and price points, they were at the right quality level. Now it's a perfect base to inject the creativity and the fashionability but continuing to retain what has been done in the last 18 months.
Edouard Aubin: Okay, thank you.
Operator: The next question is from Chiara Battistini of J.P. Morgan. Miss Battestini, your line is open, madam. The next question is from Antoine Belge of BNP Paribas-Exane.
Antoine Belge : Yes, good morning. It's Antoine at BNP-Exane. Three questions, if I may. First of all, following up on this strategy, I understand that you're moving away a bit from the strategy that was announced two years ago at Capital Market Day, but more specifically in terms of handbags, I think what characterized Sabato is that you had limited experience in handbags, and from your comments, I still understand that you're quite pleased with the more recent launches, but still the big carryover lines like the Mormons and the Dionysus are still fading. So in terms of the new profile of the new designer, could we expect someone with more experience in bags, or do you think that that's not the point? You need someone more to drive the aesthetic of the brand, and then it's more about a studio of experienced specialists on bags. Second question regards the operating profit for the year. So I understand that we are near a trough, about to rebound, but also there are still some wholesale versus retailization and investments. So is the idea to protect the €2.6 billion of this year, or is it going to be a bit difficult? And also, last year you provided the guidance for the first half, so is it possible to avoid operating profit being down in the first half? And thirdly, maybe if you could comment a bit more on sales by nationality for Q4, either for the group or Gucci, and maybe how the year started for you. I understand the timing of Chinese year. This makes things difficult to read. Thank you very much.
Francesca Bellettini: Thank you, Antoine. Regarding the handbags launches, yes, we are very pleased with everything that has been done in the last 18 months, working both on carryovers and also new launches. We will continue with this strategy because, as I said, this has not been enough to offset the drop on the permanent lines, and we have new launches coming up for April and May. As you understand, a work in a fashion company is a work of everybody. It's not a Creative Director that is experienced in this or in that that is going to make the difference. It is a company. And also, the connection between Creative Director, CEO, and the whole team is super important. What you can for sure expect by the new artistic director is a great capability to create a dream, to inject fashionability, and to make Gucci desirable on a very, very strong foundation that we have created in the past 18 months.
Jean-Marc Duplaix : Antoine, I will elaborate on your question about the evolution of the EBIT and what's going on for 2025. As you can imagine, I will not answer extensively as we are not here to provide any detailed assumptions and detailed guidance. I think that François-Henri was very clear mentioning that 2025 would be a year of stabilization. Why? Because basically, if we look at the top line, and as stressed by Francesca, you have some impact deriving from this rationalization of the retail network especially in outlet. A further rationalization or decline of the wholesale, we gave, by the way, a quite detailed estimate of what could be the impact for this year. So, another drop in wholesale. So, as stressed by Francesca, there is an assumption, which is the growth of the stores, the retail business, the full price business. But you can imagine here that there is a phasing component. In the sense that there is an exit rate from 2024 and that we see rather in the year sequential improvement, but still H1 that should be in terms of top line and the pressure. We have been very clear about our mission in terms of OpEx, meaning that we are also targeting here the stabilization and further savings if possible, and we will work in that direction. But as a result, with a top line that would grow very modestly or with no growth and stabilization of OpEx, that's the reason why it does support our assumption behind, here again, relative stabilization of the EBIT in absolute terms. But I insist on the phasing component in the sense that H1 should be quite low in terms of profitability.
Armelle Poulou: Regarding your question on sales by nationality, so the Chinese cluster improves sequentially also in Q4, being a bit less than 30% in Q4, and domestic spendings improve also sequentially. Regarding the American cluster, the performance was on par with the performance of the region. Gucci sequential improvement was in line with the group for all regions. Regarding current trending, as you know, it is very difficult to comment this year on the start of the year when considering the changing calendar of the Chinese New Year versus last year. Now, regarding Q1, our view is that trends are likely to be quite similar to Q4 2024.
Antoine Belge : Okay. Maybe just to follow up on the timing of the new designer, is it something that could be shorter? Sometimes they are like uncomplete, closed, etc. Or is it something that takes a bit more time?
Francesca Bellettini: Like we said in the press release, we will announce promptly, sooner rather than later.
Antoine Belge : Thank you very much.
Operator: The next question comes from Erwan Rambourg at HSBC.
Erwan Rambourg: Hi, good morning. Thanks for a very thorough presentation. First question, on the Chinese cluster, the consumer seems to be quite psychologically impaired.
Operator: Excuse me, Mr. Rambourg. Sir, would you please speak closer to your telephone? We hear your line a bit disturbed. Please go ahead, sir. I'm sorry, sir, we cannot hear you. Please check your mute button. Okay, now we hear you. Please go ahead.
Erwan Rambourg: I'm hoping you can hear me now.
Operator: Yes, sir, thank you.
Erwan Rambourg: Okay, thanks. I just wanted to thank you for a thorough presentation and have three questions for you. First, on the Chinese cluster, the consumer seems to be psychologically impaired. And I'm just wondering, what is your scenario? There's been a lot of debate around whether it's cyclical, whether it's more structural. How do you see the Chinese cluster for the sector in the next few years? Secondly, I had a question on the new management at Saint Laurent and Balenciaga. I'm wondering how you think about their priorities and if it's basically a continuous development or do you see a few shifts for those two brands? And then thirdly, any thoughts on U.S. tariffs, any preemptive measures, some of your competitors produce in the U.S. partly for their products as a quid pro quo, I guess, to create a few jobs in the U.S. and maybe as a preemptive measure for potential tariffs to come. Is that a possibility that you would envisage to produce part of what you do in the U.S.? Thank you.
François-Henri Pinault: Thank you for your question. So I'll start with your question about China and the Chinese cluster. In my opinion, it's not structural. What is happening, it's, I would say, a quite traditional economic crisis in China on the consumer market. We have a low consumer confidence that has been driven by a negative wealth effect, as you know, on real estate and on the stock market to a certain extent, also, probably due to the level of unemployment with the youth. So that has been put quite some pressure on the middle class, on the high-end middle class. So the aspirational customer of China, which is the billboard of Chinese consumer, has been impacted by this downturn in the economic environment of China. But, you know, when you see also at the same time driven by price difference, of course, but the rise of their buying in Japan when traveling because of the price difference, there's still a very strong appetite for brands. So that we can measure that. We feel that in all our brands. So we have to go through this economic crisis. It's a country where the GDP is still growing at 5%, driven by exports. So the need to strongly support the consumer market is probably not yet the top priority, I would say. Even though we had some announcements made in October, by the end of the year, some measures have been put in place in financing real estate, for instance. So for now, this has no impact on our segment of the market, for sure. We don't expect this year any improvement, neither deterioration, I must say. But probably starting next year, some kind of improvement, as I would bet on the fact that the authorities will support even stronger than what they have been doing, the consumer market going forward. And there is a very strong priority for the authorities in China to strongly support the middle class. It is this common prosperity idea of the Chinese government. And this is a strong priority, in my opinion, for these authorities. And it will have a mid-term impact on the growth of the domestic market in China. Francesca, maybe on YSL and Balenciaga?
Francesca Bellettini: Yes, regarding the two new CEOs at Saint Laurent and Balenciaga, Cedric Charbit and Gianfranco Gianangeli, they are -- I know them personally since a long time. Their characteristics are perfect to drive both brands to their next level. Their priorities are going to be to evolve from a strong basis on both brands. Evolution can be extremely powerful, and this is what we have agreed to do. The focus for both of them is going to be a lot on retail and improving, like I said already before, the like-for-like full price sales per square meter, the density and the profitability of the stores, because both brands are quite retailized, and they both have the perfect characteristics to thrive with the brands, because both of them have proven already in the past their strong capability to work with very strong creative directors and make creativity become a very solid business. So I don't expect big shifts or big turnarounds, but a strong, strong evolution on a very strong basis and a great focus on priorities.
François-Henri Pinault: When it comes to a potential U.S. tariff rise, of course it's difficult to see what's going to happen. For sure, it's not a matter of protecting the U.S. luxury industry. It's not the point, more a lever in terms of negotiation with other industries, other components of the trade between Europe and the U.S. So having said that, I have no more information, of course, about that. We've been already operating in big countries, big markets where we have import duties, China, for instance. So we know how to maneuver into that. We will have to review our pricing strategy, of course, to take into consideration the tariff, of course. What we know also is that one impact of a rise in tariff will be also in the touristic dynamism of U.S. tourism in Europe, for instance, which would have a big push, not offsetting, for sure, the impact in America. But we know how to maneuver to that. I'm not that worried about it. But let's see what happens.
Erwan Rambourg: Thank you very much. And on the possibility of producing in the U.S., is that an option?
François-Henri Pinault: No, no. Most of our brands we are producing in Italy and in France, and this is part of the promise that we bring through our products, through our heritage, to the consumer. We are selling part of our culture, being an Italian culture or a French culture. So we have no plan of producing to counter the tariff. It makes no sense.
Erwan Rambourg: Very clear. Thank you very much, everyone. Thank you.
Operator: The next question comes from Zuzanna Pusz of UBS.
Zuzanna Pusz : Thank you for taking my questions, and good morning, everyone. So just two questions from me. Apologies, they're a bit more financial, but there's been lots of great big-picture questions before. So maybe first of all, on the various drivers of top-line growth for Gucci, I appreciate it's a little bit probably tricky for you to know what's exactly going to happen. But it looks like we probably will see, and please correct me if I'm wrong, mid-single-digit negative space, if I just look at the number of planned store closures. And also with the wholesale, that would be sort of another probably, I don't know, 2% or so drag on the revenue. So is it correct to say that you're basically assuming that like-for-like growth would be, I don't know, mid-to-high single-digit in order to get to a flat top line? So that's my first question. And the second question is, maybe on the wholesale cleanup at Gucci, I just wanted to check, so what you are planning to do now, is it related to multi-brand accounts, or are you actually closing any franchise stores? And maybe if you could also remind us how many franchise stores Gucci still has in place? Thank you.
Jean-Marc Duplaix : Probably I will start with the first one, with the various drivers of the growth of Gucci in 2025. So I think most of your assumptions are quite correct, Zuzanna, in the sense that, of course, the wholesale should be another drag. We are talking about another double-digit decline of wholesale for next year, a substantial double-digit. We are moving to be at around €350 million of wholesale for next year for Gucci. We have, rightfully, a decrease of the square meter in outlet, principally due to the closure of outlet. It's more mitigated when it comes to the full-price store, because we have still, when we say that there is net closing, it means that you are still opening and closing at the end of the day. So there are some relocations. So in total square meter for the full-price network, I would say that it's rather to be close to flat in terms of trends. At the end of the day, in any case, what is true is that the underlying assumption is a mid-to-high single-digit growth on the like-for-like basis in the full-price stores. And once again, with a sequential acceleration along the year, with the introduction of some products, with also the comp base that should be more favorable in H2. So the combination and all the initiatives that we see start to bear fruits. Also, at the end of the day, sort of plateau in terms of trends of carryover and an acceleration in the newness, so all this should contribute to that dynamic.
Francesca Bellettini: I take the question on the wholesale. The further reduction that is going to happen in 2025 is a combination of things. It's coming from continuous focus on the best multi-brand doors. It's coming from a rationalization of the e-tailer that are still in wholesale. And partly it's also coming from travel retail.
Jean-Marc Duplaix : Just I would add, Zuzanna, that in terms of franchisee, we are not talking about many doors. By the way, in the last few years and still in 2024 and probably in 2025, there is an internalization of some franchisee business, but we are talking about a very limited number of doors. So the bulk of the wholesale today is multibrand stores and department stores. Travel retail is a component, which is, by the way, a little bit under pressure because you know that there is a big chunk of the travel retail, which is a China duty free and Hainan, which is doing decently well, but not sufficiently to support the wholesale business. So franchisee is a very minor component. Thank you.
Zuzanna Pusz : Thank you so much. That was very helpful. And just sorry, just one little follow up. So in terms of the like-for-like growth, you would expect it to be more H2 weighted, if I'm correct.
Jean-Marc Duplaix : Yeah, its all right, Zuzanna.
Zuzanna Pusz : Maybe tell us a little bit more if you are seeing already any positive like-for-like growth or sorry, it's a tricky question, but just to know what are the trends so far?
Jean-Marc Duplaix : Globally, I will not elaborate on that. But globally, no, it's not the case. Now, it depends on, of course, the locations. And we see that some stores where we have a more introduction of newness and which are maybe in a better location. We see more supportive trends in these locations.
Zuzanna Pusz : Thank you so much.
Operator: The next question is from Luca Solca of Bernstein.
Luca Solca: Yes, good morning, Lucas Solca from Bernstein. The first question is on Gucci. If I understand what you've been explaining, the next chapter for Gucci could be and if I read the images in your presentation correctly, the next chapter is still going to be based on an elegant foundation, which is quite a departure from the maximalism of Alessandro Michele, especially if the new creative director ended up being Hades Liman was known for his essential lines. So, a sort of return to the Tom Ford Gucci that had been so successful at the beginning of the century. A corollary of this question is on Valentino. Is there any concern, you think, about Valentino embracing to some extent that the maximalist style of Alessandro Michele? And Alessandro, in a way, interpreting Valentino in that manner, you will soon have to manage Valentino, which had quite a different background. I wonder what your thoughts are about that. The third question is more on the smaller brands. We've seen a very good performance in revenue terms from Bottega Veneta, especially in the fourth quarter. I wonder if the margin contraction that we've seen in this business is to be understood as transient or persistent in a way, because smaller brands in a very competitive environment actually end up needing more support in communication, in marketing, in retail execution. And that is not going to go away for the next few years. We need to understand that brands like Bottega Veneta, Saint Laurent, and the other houses you have in the other division would need to be producing lower operating margin levels than was initially thought because of the need to support them in order to grow them in the long term? Thank you very much.
Francesca Bellettini: Thank you, Luca. I'll take the first question. For sure, the aesthetic of Gucci will be elegant. There's nothing else to say about this because it's an elegant brand. And the departure of maximalism has been already done through the last 18 months. And like I said, the basis and the foundation that we have built is there to stay. We are going to inject fashionability, desirability, but of course it's an elegant brand and that is part of its DNA. Regarding Valentino, I don't know what you can say.
François-Henri Pinault: Well, you said, but Valentino, first of all, is not in the group yet. So I won't comment on Valentino. But to strengthen what you say, we've rebuilt the fundamentals of Gucci, reconnect with the heritage so that we can create on that. We can propose something based on that, which is the opposite of what you said, Luca, in terms of elegance is going to go away. Absolutely not. We're going to build, we're going to inject creativity on those strong bases that have been re-injected into Gucci over the last 18 months.
Francesca Bellettini: And regarding the future, whenever it's going to happen, I'm going to be very excited in having Valentino in the portfolio.
Jean-Marc Duplaix : Of course. Maybe a few words about your last question, Luca, which is a tricky one because as said by Francesca, there is not one size fits all strategy. And that's the same for the financial trajectory of our brands. So you have some common features that you have mentioned rightfully. It's about and it's not new and it's something that we have already mentioned in the past that this is an industry with growing pressure on some OpEx and especially A&P, but also store expenses in the sense that there is not per se a real decrease of the rent level. And we know that we need more animation in the stores, more service provided to our clients, VIP room and so on. So these are the components of the pressure on the OpEx. That being said, after that, you have some specific situation. I think that in the case of Bottega Veneta, there was really a need to rebuild our brand equity, which was still strong. But with the changes we made in terms of design, there was a need also to reestablish the brand in some markets, especially China. So we have dedicated some investments to push the brand in some markets. And as we already said, we want definitely to take the time with Bottega Veneta, which has a very exclusive positioning. All in all, now, if I take a step back, the idea that I mentioned before about working on the gross margin is the first to regain as soon as 25 few points of gross margin. I will not quantify this, but there is an ambition to regain in terms of gross margin and across the board, as we said, we need to be more efficient in our expenses. So we expect with the ambitions we have in terms of ROI that with the same level of OpEx or even some increase of OpEx, we are able to generate more revenues, so with an incremental improvement of OpEx. So that's really what we target. And we may also continue to benefit, as you can imagine, from the shift in terms of distribution mix that could, for some of the brands, also have some positive impact. So all in all, for all the brands that you have mentioned, Bottega, Saint Laurent, but also the other ones, there is an ambition here again to stabilize the level of EBIT and to try to improve the EBIT margin for 2025.
Luca Solca: Thank you very much indeed. I wonder if I can have a very little follow up and clarification. I'm also anticipating that Gucci will be built on the back of the elegant foundation. It is in the heritage of the brand and in what has been achieved in the most recent two or three years. But on that, you will add a sort of fashion twist. That is what I was trying to say with the idea of going back to Tom Ford. I'm not sure why you're saying that this is to the opposite of what you were anticipating. I'm wondering whether I misunderstood something. If you could maybe clarify this, I would be very grateful.
Francesca Bellettini: It's exactly what you said. So basically, the elegance is part of the DNA of the brand. What we have been doing in the last 18 months has also gone in this direction. By the way, personally, I wouldn't say that when you do maximalism, it's not elegant. For me, there are two different dimensions. But for sure, when we talk about Gucci, it will be built on elegance and then we'll inject on the basis that we have been creating visibility, fashionability, the twist and the authority in fashion that Gucci needs to have to shine.
François-Henri Pinault: And to be clear, Luca, this new appointment won't slow down. We are not entering a new transition phase, won't slow down the recovery of the brand. We are moving accordingly to our plans.
Luca Solca: Thank you both. Thank you both very much.
Operator: The next question is from Thomas Chauvet of Citi.
Thomas Chauvet : Good morning, Thomas Chauvet from Citi. I have three questions. The first one, François-Henri, you said in your introductory remarks that Kering had a complementarity between brands, between timeless and fashion. How do you want your four main fashion brands, Gucci, Saint Laurent, Bottega and Balenciaga, to be positioned on that cursor between quiet and timeless on the one hand and fashion and a bit louder on the other hand? The second question on Saint Laurent, perhaps for Francesca, given she knows the brand so well. When you look at the very steady double-digit growth Saint Laurent had for about a decade and then the sudden change in trends in the last five, six quarters, really, what are now the immediate priorities that you and the new CEO, Cedric Charbit, wants to address further? Is it mainly about rebalancing the product categories? Is the style of the collection of Anthony Vaccarello needs to evolve? Is it the pricing architecture? We talked extensively about the entry price points products. Maybe there's a bit of a gap here. Is it the geographic footprint? I can’t hear your thoughts. And finally, maybe for Armelle, a question on the tax. The France budget has been finally approved and there should be only one year of exceptional tax for French companies, if all goes well. How much do you estimate that incremental tax charge will be in 2025? Can you indicate what the share of profits generated in France was for the group in 2024? That might help us modeling the tax charge for the year ahead. Thank you.
François-Henri Pinault: Thank you, Thomas, for your question. I will start on the first one. Having a balance in the main brands of the group between fashion and timeless is part of what we're building. All our brands, and I'm talking about the three biggest brands of the group, Gucci, Saint Laurent, Balenciaga, or the four with Bottega also. Those brands are structurally positioned on their fashion component to create desirability and differentiation from our competitors. Because of that, we have a very strong share of our customer base on the restaurant segment of luxury. That's structural, but that's only one part of the market, as you know. So by leveraging on our timeless, our heritage that exists in all the brands, it's also for us a matter to be able to penetrate more the higher segment of clientele in which we have a very strong potential for growth if we are capable to bring what it needs in terms of product, in terms of communication, in terms of client experience to those clients. So, yes, we intend to have, going forward, a better balance between fashion and timeless in all the brands to address the total market of luxury. Of course, the fashion component is very different from one brand to the other and will remain very different. The execution to do that will be different brand by brand. This is also very important to understand. But this is what will give us more resilience, more potential for growth by being capable to address all the key segments of customers on the luxury market. Having said that, I repeat again, we don't intend to leave the aspirational segment of customers. Those are the core segments of our positioning. So we intend to stay very relevant, very strong on those segments and we are adding the more elevated segments in our, what we call, elevation strategy for the brands and that is true for all the brands, but execution, again, will be very specific from one brand to the other.
Francesca Bellettini: The answer regarding Saint Laurent builds on what François-Henri just said. It's a brand that grew very fast in the last 10 years, 11 years, and the growth was driven a lot by the aspirational consumer exactly because of the strong creativity that is part of the brand and its DNA. What happens when there is a reduction in traffic of this aspirational client when in the market there is a crisis? Suddenly, you have a drop on your carryover because aspirational consumers tend to be less repeated and more new and they usually buy your key products, your carryover lines. So this is what has been happening as a drop at Saint Laurent in the last five quarters. The team has already started to work very thoroughly on new introductions like the one I told you about, but also on the categories, on shoes, on men. You saw the immense investments and I have to say that all of the seasonal introductions are working very well and also at Saint Laurent they are done to create a new solid base of carryover. So the priorities that we have with Cedric, with Anthony, and with the whole team is to exploit each and every category at its best and to continue to work also on the refreshment of our carryover and key lines at the right price point to be able to maintain and make grow again the aspirational consumer. Saint Laurent is also a brand that was very skewed and for which the U.S. market was important. So in those five to six quarters that you have mentioned, we also have to embed a lower growth in the U.S. market that therefore has an impact on Saint Laurent stronger than in other brands. And in fact, the rebound or better trend that you saw in retail in Q4 versus Q3 was also very much driven by a better situation in the U.S. and more consumer confidence. So the priorities are exactly this. Every category counts. The experience of Cedric in both merchandising, retail management, and dealing with strong creative directors is there. The whole team is focused on that. And I think that Anthony has already shown through those years his ability to evolve and build on what he has been doing so far. So I have absolutely no doubt about the future success of Saint Laurent. It will be better than what was done when I was there as a CEO.
François-Henri Pinault: Before leaving the floor for Armelle to answer the tax question, just wanted to say that, as you know, our Italian footprint in terms of group with our Italian brands, our production in Italy, make that the impact of the tax in France is limited. But Armelle, we give you more about that. What I want to say is that, you know, having new tax on corporate is never a good, good news, never a good sign for the competitiveness of our companies in a country like France. Of course, we have to be aware and we are aware of the fact that the public finance are deteriorated in this country. It's a shared responsibility and burden. We have to be honest about that. That we have to make an effort for a limited period of time, which is one year, to make sure that is really exceptional, not to endanger the competitiveness could be understood. But we need to have guarantee on that because over the long period of time, it will be very detrimental to the economic growth of the country if we have such a burden in corporate tax on our French companies. You know, and the other point is that we need to have in front of that and the idea that was presented was September, October was more of a thing, one third of tax and two third of cost cutting in the public sphere, the public structures. We are already far away from that, which is worrying, in my opinion. We need to have the counterpart of our efforts and a very strong commitment to reduce the cost of the structure and the cost of the public services in this country. And not just because if I was to tell you that to control my cost structure as a company, I was lowering the rhythm of growth, and that was what I call cost cutting. You won't buy it at all. And so what we need is not just a lower growth in the public spending, is a decreasing in the public spending going forward. Not immediately, for sure, but in a certain period of time. So that's the context in which we are. And I hope that because for the long run, the public finance really will improve through economic growth, economic growth needs for foreign investors and French investors, French corporation to have stability going forward in terms of tax in this country and based on that, raising tax cannot be the only solution for sure. But having said that, I’ll let Armelle.
Armelle Poulou : So, yes, I confirm what Francois-Henri was mentioning. You know that our results are largely taxable in Italy and to a lesser extent in France, China and the U.S. Therefore, we don't expect the 2025 effective tax rate at group level to be significantly impacted this year.
Thomas Chauvet : Thank you.
Operator: The next question is from Louise Singlehurst of Goldman Sachs.
Louise Singlehurst : Hi, good morning, everyone. Thanks for taking my question. And thank you again for all the information we've had so far. There's obviously a lot going on. I'll keep my questions to two, please. Firstly, going back to the future, and I know you've had lots of questions on this already, but it does sound as though you are very pleased with a lot of the work that's been done over the last two years. But I wonder if you can just help us clarify in terms of the message of exactly what it is that you want to change going forward. And I suppose the other way of thinking about it is, can you help us think about who today's customer is at Gucci and where you see this going in the future? And then my second question, it was basically just going back to the comments of a year of stabilization. That's very clear. That's the plan for 2025. Can you just help us think about the Gucci brand margin in that context? Obviously, given the weight, it follows the same picture. But when we think about the old stock and the inventory position, any excess stock coming from the Positano, etc., that would be very helpful just to talk to those moving parts from the Gucci brand specifically. Thank you.
Francesca Bellettini : Thank you, Louise. I take your first question. Like you noted, we are very proud of what has been done in the last 18 months. And what is there to stay is the reconnection with the heritage and tradition of the brand that has never been stronger. We are very happy with the work that has been done on the iconic products. We are very happy to have developed very well this foundation for the brand. What we want to change is what I said, is the desirability, fashionability, fashion authority of the brand. Because if you go back to the past history of Gucci, the moments in which this brand has been shining is when there was a complete 50-50 split in between tradition and fashionability and fashion authority. So that is a part where we expect the biggest change. That is going to come on a super solid foundation.
François-Henri Pinault: Before answering to your second question, let me just wrap up in terms of timing. We will take after you the last question, just to respect the timing. I think I could just be very short by saying that what I said for the group is even more relevant for Gucci with a very modest ambition in terms of top line due to the different moving pieces we mentioned before in terms of top line and rationalization of network and decline of wholesale and all the efforts we are making in terms of protecting the gross margin or improving the growth margin and the OpEx. I must say that Gucci is a brand which contributed the most to the savings we made this year. In terms of workforce, globally speaking, if we put aside all the impact of internalization of the production compared to 2019, we are below in terms of workforce. We have a reduction of 2000 in terms of headcounts compared to the end of 2023. And we have embarked in a way for 2025 some potential additional savings. But it's true that there is a balance that is quite fragile that we need to strike with Francesca, which is at the same time to continue to manage inventories, including the old inventories, even if, as you noted, we did a good job already this year. So a big part of the effort has been made in 2024, but still in 2025, this is something we need to take care of. And with this balance between selling this goods principally in outlet and not compromising what we are doing in terms of elevation of the brand. So we'll continue to work in a direction that should lead to a further reduction of the inventories, probably not to the same extent as we did this year. I remind that it was minus 40% in terms of units. So it's not something that we can completely replicate. And we will be vigilant not to compromise this elevation by pushing too much in inventories. But during H1, if there is a need to continue to work on inventories, we will do. And I see the underlying question, which is about the impact on the EBIT margin of this depletion. And in our assumption, it's something which is completely factored. And we don't anticipate a more negative impact for 2025 due to this depletion. Last question, so?
Operator: The final question is from Ashley Wallace of Bank of America Merrill Lynch.
Ashley Wallace: Thank you very much, everyone, for taking my questions. I actually have three. The first one is just on the new leather products at Gucci, if you could talk about the three new lines that you launched in the second half of the Blondie, Bee and Emblem. Was there any difference in the performance of these product lines, given I think the price points are actually quite different, and likely they're addressing a different clientele? So if you can just help us understand any nuances between the new net set. And then just, sorry for my clarity, the Sabato product, am I right to understand this product will not be discontinued? So when the new Creative Director comes in, will they be mainly focused on fixing the carryover products to begin with? Or can you maybe just kind of help us understand how does a new Creative Director come in when you have the new or the old Sabato products? And then my last question is just on the event guidance for flattish for the year. If I heard Jean-Marc correctly, half one will be quite low in terms of profitability. So I guess to make the full year flat, you need half two to rebound quite strongly. Can you please help us understand if that is driven mainly by the assumption that you'll see an acceleration in full price like flag, or if there's anything else in the second half, like gross marginal cost, which are very weighted to half two? Thank you.
Francesca Bellettini : Thank you, Ashley, for your question. You pointed it out very well. The three lines that you mentioned, Blondie, Emblem, and Bee Bag, have been introduced with very different strategy and for very different reasons. The Emblem line is a more entry price that has been introduced at an entry price point. So to be appealing for a wider clientele, typically the function of this line is to recruit new customers, even if we see that in addition to that has been resonated also with a lot of the existing clients. It's performing very well worldwide. And by the way, the launch of the Emblem line has not made the carryover deteriorate more. So this is why we consider this a very important line that can stay and evolve in the portfolio. Then I'm not going to go into the details of which SKUs. Among the three that you mentioned, the Bee line is more skewed towards the high end. Like I said in the presentation, it comes from the past from a men's bag. It has been introduced in the women's line in a very elevated version, quite fashionable also with the extra size line. At the moment, it has resonated very well with the existing ready-to-wear customers of Gucci. We have expanded recently the line with an extra size. That's for sure is going to be more of a volume driver while the Blondie line has been resonating very well worldwide and with all kinds of customers. Like you said, it spans through different price points and evolution so it's a complementary to those two. Regarding the discontinued product, we don't expect with the arrival of the new artistic director to change our clearance procedure of products. During these 18 months together with Jean-Marc, we have implemented a very, very detailed and sound strategy on deploying the products. When I say becoming a better retail company means also better control of open to buy and sell through. That therefore will generate less leftover in terms of seasonal products. So we are in quite a good positioning. Like Jean-Marc said, we will continue on this trend. But it's not the appointment of the new artistic director that will change the strategy dramatically.
Jean-Marc Duplaix : About the second question, Ashley, of course, you have a lot of moving pieces. And as we say with Francesca, the idea is to be more agile than in the past. What I mean there is that in terms of allocation of resources and in terms of investments and OpEx, we try to pilot along the year with a lot of free activity. So it means that we could decide to move some investments in H1 if we want to push certain lines of products. If we see a good response of the market, it could be rather in H2. So it's not so simple. That being said, just very roughly, what we can say is (a) all the initiatives that we have put in place in 2024 will continue to bear fruit along the year with an acceleration along the year. So we expect that the growth margin will improve gradually along the year with a higher growth margin in H2 compared to H1. (b) that's the same for the OpEx. In terms of OpEx, some of the savings we are making in terms of fixed OpEx, we will have the full impact in H2 2025. We will benefit from the savings we have already in H1, but additional savings in H2 when people leave the company or when you have hiring freeze, you have always a lag before seeing an impact on your OpEx. But the main clearly driver of the improvement of the profitability should be the top line, to make it simple. It would be really a question of absorption of the fixed cost due to the improvement of the top line in H2 that we anticipate.
François-Henri Pinault: Thank you. So we’ve reached the end of our session. Thank you for your continued interest and support for Kering and for all your question. I’m sure that you have more question to ask us, so as usual, I will direct you to Claire and her team for additional detail. So now on behalf of Francesca, Armelle, Jean-Marc and myself, I wish you a good day. And we look forward to our next interactions. Thank you.